Operator: Ladies and gentlemen, thank you for standing by, and welcome to the AspenTech 2023 Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. I would like now to turn the conference over to Brian Denyeau from ICR. Please go ahead.
Brian Denyeau: Thank you, operator. Good afternoon, everyone, and thank you for joining us to discuss our financial results for the first quarter of fiscal 2024 ending September 30, 2023. With me on the call today are Antonio Pietri, AspenTech’s President and CEO; and Chantelle Breithaupt, AspenTech’s CFO. Please note, we have posted an earnings presentation on our IR website and we ask that investors refer to this presentation in conjunction with today's call. Starting on Slide 2, I want to take this opportunity to remind you that our remarks today will include forward-looking statements. Actual results may differ materially from those contemplated by these forward-looking statements. Factors that could cause these results to differ materially are set forth in today’s press release and in our annual report on Form 10-K and other subsequent filings made with the SEC. Any forward-looking statements that we make on this call are based on assumptions as of today, and we undertake no obligation to update these statements as a result of new information or future events. During this presentation, we present both GAAP and certain non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in today’s earnings press release and investor presentation, both of which are available on our website. With that, let me turn the call over to Antonio. Antonio?
Antonio Pietri: Thanks, Brian, and thanks to all of you for joining us today. Beginning on Slide 3, these are the four key takeaways for today's call. First, Q1 was a solid quarter, which once again delivered double digit ACV growth. We have hit the ground running to start the new fiscal year, shifting our focus from integration and transformation to execution and expansion. Second, demand remains strong in most end markets. More than ever, our products and solutions are mission critical and uniquely positioned to help customers meet their profitability and sustainability objectives. Third, we continue to see promising signs of growth across many different sustainability pathways that are expanding our market opportunity. We are highly encouraged about the potential to help new and existing customers achieve their sustainability objectives through partnership, collaboration and co-innovation in different use cases. And fourth, we remain confident in our ability to deliver against our guidance targets for the full fiscal year. Our ability to generate double digit ACV growth and expand free cash flow margins while also making strategic investments for growth is a great example of the scalability of our business model. Looking at our quarterly results in more detail, Annual Contract Value or ACV was $898 million, increasing 10.9% year-over-year and free cash flow was $16 million. As I stated last quarter, our cash flow is generally lowest in Q1 due to the seasonality of cash collections in our business. Turning to Slide 4, I will now provide an update on the dynamics we're seeing in our end markets, where demand remains strong excluding chemicals. In upstream and midstream energy, customers are experiencing favorable market conditions and healthy demand growth with recent acquisition announcements by U.S. oil majors demonstrating their confidence in the industry's long-term prospects. Strong demand combined with a persistently tight supply environment has led to higher oil prices and increased upstream CapEx investments, especially from national oil companies. CapEx investment is not only targeted at increasing oil supply, but also at sustaining existing production rates as the depletion rate of oil fields is a major area of focus. With the addition of the SEC suite, we can now offer an even more compelling lifecycle solution to manage and optimize the entire value chain. And we expect demand in these markets to remain positive for AspenTech going forward. In refining, while margins have fluctuated over the last three months, they remain strong as industry players benefit from a combination of increasing demand for fuels and capacity rationalization in Europe and North America. These same owner-operators remain focused on extending asset lifespans and reducing emissions through CapEx and OpEx investments, targeting improvements in operational efficiencies where digitalization plays a fundamental role. We remain well positioned to support refiners with their initiatives through our ability to drive higher efficiency and therefore improve sustainability. E&C customers are benefiting from positive CapEx trends in both traditional energy and energy transition projects driving higher pipeline and industry optimism. As we have mentioned in the past we believe that sustainability initiatives will ultimately support faster and less cyclical growth than we have seen historically in this end market. We're encouraged by the trends we see with the with the E&C customers and expect they will continue. The environment for chemicals remains consistent with the first half of this calendar year as industry players manage operating costs to support margins in response to weaker demand. While this is impacting our growth in the chemicals market, chemicals customers remain interested in AspenTech solutions to help drive efficiencies, reduce emissions and plastic waste and accelerate the development of the circular economy. This gives us confidence that we will deliver faster growth from this vertical as market conditions improve. Finally, demand in the power T&D industry remains robust as the industry benefits from an immense and ongoing investment cycle to expand, modernize and strengthen the grid. This is being driven by increasing consumer and industrial demand for electricity, rapid adoption of renewables and significant government funding. For example, the International Energy Agencies or IEA's most recent update to its net zero road map for 2050 predict that $680 billion in global annual grid investment is needed by 2030 to meet the expected increase in electricity demand. The IEA also predicted that nearly 70% of this investment will be used for distribution grids with the aim of expanding and strengthening and digitalizing networks, all of which were well prepared to help support through our DGM suite. We're bullish on the long-term growth potential of this market and it remains a key strategic area for investment going forward. Turning to Slide 5, I'd like to provide an update on our sales efforts as we kicked off the year. As I highlighted on Slide 3, we're making investments to increase sales capacity in both new and existing markets. We believe this investment combined with our Emerson commercial relationship will enable us to capitalize on the numerous growth opportunities we see across our business in the years ahead. We began this process in the fourth quarter of fiscal 2023 and have made significant progress in these efforts since then. We expect to start benefiting from this additional capacity towards the end of fiscal 2024 and realize its full impact in fiscal 2025 and beyond. I'd now like to provide some additional color around software transactions closed in the quarter. Our customers continue to recognize the exceptional value and breadth of our innovation for their businesses, both to meet their needs today and their long-term development objectives. As a result, we have continued to win new business while also deepening our relationships with existing customers. The first customer reference is a world leader in industrial gases that is in the process of expanding from its traditional role in the production of industrial gases to become a leader in the production of green hydrogen. As part of this journey, this customer is using our software to design next generation process technology and estimate investment cost for green hydrogen, green ammonia and renewables. This customer doubled their engineering suite token entitlement as foundational technology for their ambitious growth objectives with plans to explore further standardization on our offerings going forward. The second customer is a leading refiner that decided to more than double their business with us citing its condition and the capabilities of our engineering suite and intention to explore additional use cases in alternative fuel development. This latest transaction built on our long-standing relationship with the customer and we're excited to continue partnering with them going forward. Third, for DGM we secured a large scale perpetual license transaction with a U.S. power utility. The utility was in search of a better way to manage its transmission network and recognizing the strength of our monarch platform chose us over the incumbent following a competitive process. This customer is interested in additional DGM Suite products and we plan to continue working with them to expand the relationship going forward. The fourth and final reference is from our collaboration with Emerson where we displaced an incumbent in the pulp and paper business of a leading global manufacturer. Emerson's existing relationship with this customer through its DeltaV install base provided valuable insights into its evaluation process and helped us identify that the value of our adaptive process control technology for more efficient and sustainable plant operations would be a key differentiator. We see room for expansion across this customer's asset base and remain confident in our ability to continue partnering with Emerson in pursuits going forward. Moving to Slide 6, I would like to provide an update on the sustainability opportunities we're seeing. The global mega trends of the energy transition and net zero targets continue to drive significant investment into the development of existing and novel technologies that can scale to achieve customers net zero ambitions. As a result, customers interest in our solution to support this type of sustainability projects is growing. This is manifested through ongoing CapEx spend, which drives increased interest and use in our engineering suite and represents most of our growth in this market today. These assets are still in their initial design phase. However, overtime we expect to see a benefit from sustainability related projects in our manufacture and supply chain and asset performance management suites as well, since we provide customer value across the entire asset life cycle from the basic design phase to asset operation and maintenance. The customer reference mentioned a moment ago around green hydrogen is an excellent example of these land-and-expand opportunities and we continue to see many other compelling projects in different areas of sustainability. We also won in the quarter several sustainability related opportunities through our high velocity sales team. These wins included companies still in their initial startup journeys and later stage companies that have advanced into the testing and development stages of a specific sustainability use cases. By leveraging our technology, these companies are developing solutions in areas such as carbon capture, plastics recycling, green hydrogen, renewable fuels and batteries. We're excited about the potential to help them scale up their digitalization initiatives going forward. Turning to Slide 7, I will now provide an update on our innovation initiatives. In Q1, we continued to drive innovation across our portfolio to help customers run their assets safer, greener, longer and faster, resulting in the planned release of enhancements to our current V14 software and a new V14.2 update later this month. These upgrades will include new machine learning and newer net capabilities across many of our products to enhance their hybrid modeling functionality. Expansion of our sustainability application library and product integration for Emerson Ovation power generation control system among other areas. We also remain focused on helping our partners reach their sustainability goals through co-innovation in the quarter. For example, we have completed the productization of the technology license from Aramco, Architect 3 to be released as Aspen's strategic planning for sustainability pathways. This product holds significant potential to help our customers make more informed decisions in their carbon management strategies and over time, it should also incorporate capabilities to help customers better navigate multiple other sustainability pathways. In its initial release the product will simultaneously consider economics, process design and operating constraints to help customers optimize their carbon management strategies. Additionally, as announced this afternoon, we're expanding our relationship with OMV Group, a multinational, integrated energy company based in Austria to accelerate the company's energy transition initiatives. As a first step in this partnership, we will focus on the renewable fuel optimization strategy by helping them better leverage their industrial data and develop a simplified integrated supply chain model across OMV's fuels and chemical supply chain. Now turning to Slide 8, I will discuss our outlook for the remainder of fiscal 2024. We remain confident in our ability to deliver ACV growth of at least 11.5% and free cash flow of at least $360 million. Industry demand for greater operational efficiency coupled with higher investment levels to support sustainability goals and energy transition initiatives is driving strong demand for our innovation. Macro trends remain consistent with our expectations at the beginning of the year and we're closely monitoring the ongoing conflict in the Middle East for any potential impact on market dynamics which so far has been minimal. I would also like to give an update on the AspenTech team in Israel. Our priority has been the physical and mental safety of our team members there. We remain focused on these and we will continue to make sure we're doing all that we can to support our affected employees. We also want to extend our heartfelt condolences to all those directly and indirectly impacted by this event in Israel and throughout the region. Lastly, as announced a few weeks ago, Chantelle will be stepping down from her role here as CFO at the end of December. Chantelle has been a great partner to me and a leader for the organization. On behalf of the entire team here at AspenTech, I'd like to thank her for her many contributions and wish here all the best in the next chapter of her career. We have full confidence in Chris Stagno, SVP and Chief Accounting Officer to step into the interim CFO role after Chantelle's departure should we need additional time to complete our search for a permanent CFO. With that, I would now like to turn the call over to Chantelle for a discussion of our Q1 financial results. Chantelle?
Chantelle Breithaupt: Thank you for the kind words, Antonio. It has been a privilege to serve as CFO for the past two and a half years at AspenTech. I am highly appreciative of your leadership, vision and commitment to the company. I am proud of what we have accomplished and I'm very confident in AspenTech's ability to continue delivering strong top and bottom line growth going forward. I remain committed to working with Antonio, Chris and the entire team to ensure a successful transition. Turning to our Q1 performance, I'd like to start out by highlighting that our earnings presentation includes explanations regarding the impact of ASC Topic 606 on our financial results. We have also included definitions of Annual Contract Value or ACV, bookings and free cash flow among other metrics in our earnings presentation now available on our IR website. We ask that investors refer to these definitions together with today's call. Starting on Slide 9, annual contract value was $898 million in the first quarter of fiscal 2024, up 10.9% year-over-year and 1.4% quarter-over-quarter. As a reminder, Q1 typically sees the lowest number of transactions closed given our historical sales cadence. In addition, ACV performance in the first quarter of fiscal 2023 included one-time transformation and integration benefits from SSE and our acquisition of Inmation, which together represented approximately $10 million of net new ACV or 1.3 points of sequential growth in Q1 of fiscal 2023. Total bookings were $212 million in the first quarter, decreasing 5.4% year-over-year. As a reminder, bookings are impacted by the timing of renewals, which were down year-over-year, consistent with expectations. We expect $131 million in bookings up for renewal in the second quarter of fiscal 2024. Total revenue was $249 million for the first quarter, which was approximately flat on a year-over-year basis. Please note that revenue in our model is heavily impacted by contract renewal timing and variability under ASC topic 606. Now turning to profitability, on a non-GAAP basis, which excludes the impact of stock based compensation expense, amortization of intangibles and acquisition and integration planning related fees, we reported operating income of $78 million in Q1 representing a 31% non-GAAP operating margin compared to a non-GAAP operating income of $93 million for a 37% non-GAAP operating margin a year ago. As a reminder, margins will fluctuate period-to-period due to the timing of customer renewals and the resulting impact on license revenue recognition in a given quarter. Additionally, on expenses, please note that the increase was driven by increased headcount and compensation costs in line with Antonio's commentary around our expansion initiatives in fiscal 2024. This increase in expenses was expected and is consistent with our fiscal year 2024 guidance. Non-GAAP net income was $75 million in the quarter or $1.16 per share compared to non-GAAP net income of $142 million or $2.20 per share a year ago. Please note that the difference in non-GAAP net income between periods was mainly due to a lower benefit from income taxes in the first quarter compared to a year ago, driven by the change in our approach to computing our tax provision which originally occurred in the second quarter of fiscal 2023. Turning to our balance sheet, we ended the quarter with approximately $121 million of cash and cash equivalents, reflecting the impact of share repurchase under our $300 million share repurchase program. In addition, we had $198 million available on our revolving credit facility. During the quarter, we purchased approximately 580,000 shares for $114 million under our $300 million share repurchase authorization announced in fiscal year 2024. We also settled our $100 million accelerated share repurchase program in the quarter to receive an additional 107,000 shares. Please note that the $100 million ASR program was paid for in full in fiscal 2023. For cash flow, we generated $17 million of cash from operations and $16 million of free cash flow in the quarter compared to $5 million in cash from operations and $4 million in free cash flow a year ago. As Antonio noted, this was in line with our expectations as Q1 has historically been our lowest cash flow quarter due to the amount of cash available for collection in the period. Turning to Slide 10, I would now like to close with guidance. For the full year of fiscal 2024 we are reiterating our outlook across all metrics. This includes at least 11.5% of ACV growth and a free cash flow target of at least $360 million for the period. We continue to expect total bookings of at least $1.04 billion with $580 million of bookings up for renewal in fiscal 2024. Our non-GAAP EPS range has increased by $0.06 [ph] from our prior guide to reflect the impact of our share repurchase activity in the first quarter on shares outstanding. There is no impact to GAAP EPS. For a complete overview of our fiscal 2024 guidance, please refer to our earnings press release and presentation available on our IR website. As investors think about linearity for the remainder of the year, we continue to expect a cadence consistent with our historical performance. This includes fiscal 2023 when adjusting for the one-time contributions from SSE Inmation in Q1 that I discussed earlier. We expect to generate net new ACV in the low 60% range in the second half of fiscal 2024. In addition, we expect that we will begin to see the impact from our sales investments in the second half of fiscal 2024 consistent with the assumptions we provided around our fiscal year 2024 guidance on our last quarterly earnings call. Please refer to Slide 13 of our earnings presentation for a detailed overview of our linearity expectations. To wrap up, we delivered a solid start to fiscal year 2024. We remain on track to meet our full year targets while also strategically investing in different areas that are supportive of our long-term growth objectives. We believe AspenTech is in a great position to benefit from many of the largest and most important investment trends impacting asset intensive industries today, which should support our ability to generate attractive levels of growth and profitability for the foreseeable future. With that, I will turn it back over to Antonio for closing comments.
Antonio Pietri: Thank you, Chantelle. Q1 was a solid quarter where we once again delivered double digit ACV growth. Following our initial foundation building year, we have shifted focus to execution and expansion in fiscal year 2024. We're investing in areas that can drive our growth while also managing our expenses for a return to best-in-class profitability overtime. We're pleased to report that demand remains resilient for our mission critical solutions across most end markets. We also continue to see encouraging signs of growth in different areas of sustainability as I have touched on today. Our team is clearly energized to continue helping our customers with their sustainability initiatives going forward and we remain confident in our fiscal year 2024 guidance targets. With that, we will open it up for Q&A. Operator?
Operator: Thank you. [Operator Instructions] The first question comes from Matthew Pfau with William Blair. Your line is open.
Antonio Pietri: Hi, Matt.
Chantelle Breithaupt: Hi, Matt.
Matthew Pfau: Hey, Antonio and Chantelle. Thanks for taking my questions. First, I wanted to ask on some of the momentum you're seeing with sustainability, CapEx and investments. Is there any way to size how much new business is being driven by these initiatives and how does that compare to perhaps a year ago?
Antonio Pietri: Yes, Matt. Let me address that and then Chantelle can add her thoughts as well. So we have an initiative internally to certainly first of all size the opportunity, the total addressable market that we believe will come to us from sustainability, CapEx investments and eventually OpEx as well as these plans are built, our manufacturing supply chain and APM solutions will play a role in all of that. Now in in the near-term what we're seeing is opportunities in sustainability and different use cases flowing through our inside sales organization, our high velocity sales organization and the benefit that we're seeing is from CapEx investments and the initial front end engineering design for those assets. We're also seeing a little bit of MSC opportunities for customers that already have facilities that that that are running. Our advanced control technology again seems to be a target for some of these customers. But in general we do have a sense today for the amount of business that sustainability is generating and this is the reason for the investments that we're targeting in our high velocity sales organization which are specifically to really position us better to capture that opportunity in that market and eventually over the -- throughout the broader market that we have.
Chantelle Breithaupt: Yes. I think the only thing I would add Antonio to your point is yes, definitely in specifics Matt, such as the high velocity sales that Antonio referred to, those are specific measures and that a more macro level for us, the engineering suites where we look first and then that eventually falls into MSC as we build out land-and-expand. And our engineering suite saw the strongest growth it has out of 13 quarters. Last quarter we said engineering was the strongest out of 12. This is even stronger and up 13. So that's where we see it at a macro sweet level. And then Antonio had some specifics there that that kind of bolster it together.
Matthew Pfau: Great, very helpful. And then I wanted to just perhaps get an update on how you're thinking about acquisitions now that it seems like the Emerson integration is going well and also the Micromine acquisition has gone away?
Antonio Pietri: Go ahead Chantelle.
Chantelle Breithaupt: Yes, we're still committed to M&A in the sense of it's still a part of what we're looking for and focused on. I think that we have everything from tuck-in to larger pieces from that perspective Matt. We've remain committed to pursuing them as primary use of our capital and I think that we're waiting to see, we can't always time the market but we have, we definitely have a list of things from tuck-ins to larger that we're looking at. So it's still a good part of our capital allocation strategy.
Matthew Pfau: Great. I appreciate you taking my questions. Thank you.
Antonio Pietri: Thanks.
Operator: Please stand by for the next question. The next question comes from Rob Oliver with Baird. Your line is open.
Antonio Pietri: Hi, Rob.
Rob Oliver: Hi, Antonio. Hi, Chantalle. Good afternoon. Thanks for taking my questions. I had two. One, I was wondering if you could provide an update for us that you guys obviously got through a big period of last fiscal year in the SSE business with the contract timings and now you're moving into that conversion from legacy perpetual to term and I know that is expected to be a contributor to ACV growth this year. So I know we're only one quarter in, but just wanted to see if I can get an update on how that is progressing so far? And then I had a quick followup.
Antonio Pietri: Yes, let me take that. So look, the way the year flowed last year with SSE, certainly an important transformation benefit in the Q1 fiscal 2023 quarter as we cleaned up distances and we aligned the recognition of the spend in those contracts to our ACV policy. A lot of the renewals happened in the Q3 fiscal 2023 quarter. So we expect the Q3 fiscal 2024 quarter to be a big quarter for SSE and a quarter where we've been -- we hope to see the results from our focus on growing and expanding the SSE business. Of course, the growth is what will have an impact on ACV, but we're also targeting to expand the term length, which would have a benefit on the revenue side of the equation. But look, we're excited about SSE, especially with national oil companies we're seeing a lot of investment, CapEx investment flowing for oil and gas. And it's not only, as I said on the call, it's not only to increase production, but to replace a production that is naturally lost as oilfields deplete. And then is the use of SSE around carbon capture sequestration, also geothermal energies, we are engaged with a couple of customers as well starting the possibility using SSE to also store hydrogen in the subsurface as a storage resource. So we're optimistic about SSE and the potential that we see. But all the work that we're doing right now, we expect to see it in the Q3 and Q4 quarters as we focus on most of the renewals that we have for SSE.
Chantelle Breithaupt: Yes. And I think that the other -- one other thing I would add too is that from a model perspective, Rob, we're seeing, we're pleased with the initial kind of conversations on tokenization. So you mentioned perp to term, and then SSE is now doing term to token, and we're pleased with how that tokenization conversations are going. That's the only thing I would add as well as far as progressing the transformation agenda.
Rob Oliver: Great, helpful. That's really helpful color from both. Thank you. And then Antonio, just one followup for you. I appreciated your comments, not seeing any impact from what's going on in the Middle East. And I know last quarter you had made some comments relative to China and Russia and I think Russia, you guys kind of moved to renewals only and China was slow. I just would be curious to hear an update on those two geographies from you. Thank you very much.
Antonio Pietri: Yes. Look, on Russia, as you said, last quarter, we announced that we're going to move to a renewals-only business, and that is the case. And we're working renewals, some renewals already happened in Q1 and will continue to happen. And look, we also continue to monitor sanctions there just to make sure that we comply with any requirements from the U.S. government. On China, look, China is interesting in that our business continues to grow in China. Certainly, the Chinese government is driving an emphasis on local sourcing for technologies, meaning by local companies, Chinese companies. But we also see Chinese customers continue to buy our technology, which I believe speaks to the innovation and differentiation that still exists between what we do and our products and any native locally developed capabilities in the country there. So...
Rob Oliver: I appreciate that. Thank you very much.
Antonio Pietri: Yes.
Operator: [Operator Instructions] The next question comes from David Ridley-Lane with Bank of America. Your line is open.
David Ridley-Lane: Hi, this is David Ridley-Lane on for Andrew Obin. I was kind of wondering a little bit more about the competitive displacement you had at that DeltaV customer. Is there understood that you're sort of saying expect the ACV contributions from the Emerson channel to ramp more in the back half? But is there a way of helping put sort of the number of Emerson-driven opportunities that are in the pipeline today? In context, how is that versus a year ago? Just help us an investors better understand how that opportunity is building?
Antonio Pietri: Yes, sure. I mean, look, let me first say that a lot of work and a lot of goodness happened in fiscal 2023. We -- what I would say is, we synchronized the two organizations on what was possible, considering the trajectories of the two companies in their own markets. We now in fiscal 2024 expect to start seeing some of that benefit, and the reference that you mentioned is an example. What excites me and excites all of us is the huge installed base of systems that Emerson has in the market, not only in our core market, but in other markets, as you saw. That was a pulp and paper reference, which is typically not a market that AspenTech pursuits. So a huge installed base of DeltaV systems, huge installed base of Asian systems in power. Huge installed base of maintenance systems, Emerson maintenance technology capabilities that we believe are also opportunities for our asset performance management solution and especially the Mtell solution. The AspenTech organization now has access to all that installed base. It's engaged with the Emerson sales organization and the different account teams. And from a standpoint of estimating the opportunity, you need to look at the Emerson installed base and then you would have to determine what is the possibility there for AspenTech. But we also know that customers are very excited about what's possible between AspenTech and Emerson. And this is something that we'll be talking about during our global conference coming up at the end of April next year. So more to come, but it's about their installed base and then how AspenTech can be accelerated into that installed base.
David Ridley-Lane: Thank you. And then were there any sort of meaningful levels of digital grid management perpetual license bookings this quarter? And just an update on the pipeline, how the customer receptivity is for term license proposals that you're putting across the table?
Antonio Pietri: Yes. Look, the fact is that we -- we exceeded our expectations for the quarter around perpetual licenses for DGM. That continues to be a play for us. This is a transition that will happen over many years. Some customers are more willing to go to term than others. But what I want to emphasize is that certainly, a perpetual license contributes to revenue, contributes to upfront free cash flow, but it also generates GACV from the maintenance support that is in those agreements. And that's normally somewhere around 19% of the licenses, the perpetual licenses. So while, of course, eventually, we will prefer to have all that business be term, there is an important benefit from perpetual licenses that is reflected in the growth expectations for DGM in the year. But look, our pipeline is supporting both perpetual licenses and term. What I'll say about term, it's a new licensing model for customers. There's – like it happened with HAT, it was the beginning in 2009, 14 years ago. Customers have to get familiar with the model, have to get familiar with the terms and conditions. And therefore, that aspect of the negotiations takes a little longer. We saw good business in the quarter, and we have good engagement around term deals as well. So look, this is a transition that will happen over many years, but good benefits overall.
David Ridley-Lane: Thank you. And if I could squeeze one more in. So if I understood your sustainability comments around the high velocity sales force, you're starting to sign up engineering and construction firms for incremental tokens around these projects today, and you expect that to build as you go through the year?
Antonio Pietri: Yes. We find EPCs to be very bullish about the -- how sustainability CapEx is flowing to them. And therefore, it's driving more use of tokens. One of the customer references that we talked about, while that customer is not an EPC, they've made a very strategic decision to focus on growing green hydrogen. And they doubled their entitlement with AspenTech. This is a seven-figure doubling of entitlement. So that benefit is absolutely now flowing through our growth, and we expect it to continue to be more and more so going forward.
David Ridley-Lane: Thank you very much.
Operator: [Operator Instructions] The next question comes from Jason Celino with KeyBanc. Your line is open.
Antonio Pietri: Hi, Jason.
Devin Au: Hey Antonio, hey Chantelle, it's actually Devin on for Jason tonight. Thanks for taking our questions. Just want to start off, I just want to get a little more detail on the ACV growth and in the quarter. I mean it decelerated a little bit on a year-over-year basis. And when I look at kind of the balance of the year, I think you mentioned expecting SSE to have a pretty big second half. But any other commentary you can share on just what's giving you the confidence that ACV growth is really going to accelerate in the back half year?
Antonio Pietri: Okay. Go ahead, Chantelle and I'll help you.
Chantelle Breithaupt: Yes. I think to the point I've add any additional color, when you take the current -- the Q1 period year-over-year, if you look at -- if you remove the onetime benefits of the SSE commercial transformation and Inmation, we actually had a 1% growth in Q1 last year versus the 1.4%. So if you look at organic growth, it's actually expansion of 1% to 1.4%, which I think is really critical from a run the business operational perspective and we're pleased with that underlying growth. If you look at the remainder of the year, there are several things we're confident in, and I'm sure Antonio will add some color. But everything from the SSE terminals in Q3, the sales productivity ramping that we talked about, the investment in Q4 last year, Q1 this year. The benefit of the DGM pipeline growing in the sense of both the pipeline term and aftermarket sales and then traditionally HAT has had stronger linearity in the second half. So we see quite a few factors. And Antonio, if you want to add any color to those five things?
Antonio Pietri: Yes. I mean, Chantelle is right. Look -- we're excited. I'm very excited about what's happening here. Of course, there's a lot of foundation building and now expansion because, in a way, AspenTech accelerated from $700 million to $1.1 billion in revenue and the related ACV overnight. So now it's expansion. If you look at Q1, as Chantelle said, look, in Q1 2023, there were benefits from transformation of SSE, significant benefits and then the Inmation inorganic benefit. On an apples-to-apples basis, it's a 40% improvement in the performance in the Q1 quarter versus last year. But look, what excites me is, okay, we're starting to see the flow of sustainability benefit through our high velocity sales organization. But if you go to Europe, for example, our installed base of customers there are incredibly focused on sustainability. Today, we announced that press release related to our partnership with OMV in Austria and where they're doing around biofuels and synthetic fuels, but – but you also have many other customers working on this type of use cases. So they will believe also – there will be an important benefit to have, not only in engineering, but MSC as well, and I believe also in APM. SSE, significant sustainability benefits. If you look at DGM and as I travel around the world, and I have over the last 18 months, talking to DGM customers, the opportunity is incredible. Look, we manage our technology, manages the largest transportation grid in Latin America. We -- our technology is responsible for managing the entire gas distribution network of Spain. The entire India grid is managed by the Monarch technology, the entire India grid. This is the largest synchronous electrical network in the world in one country. And the opportunity in India, as I meet with customers and the successes that we've had over the last 12 months in Europe around transportation, but also distribution, the 40%-plus market share that we have for DGM in North America as well. And we're only getting started outside of North America. We're doubling our sales organization in the field outside of North America to pursue opportunities, and that will continue to happen in future years as well. And the expansion of HVS [ph] is about sustainability. So as we look at all the macro indicators, the quality of the technology that we have and the opportunity and the CapEx that are starting to flow around global electrification and sustainability is very exciting. So the point that Chantelle made, look, this is a year is 12 months and four quarters. We just completed our first quarter, and now we're excited about Q2, Q3 and Q4.
Devin Au: Got it. Got it. I really appreciate the clarity here. Just one quick followup. I think last quarter, you also mentioned seeing some good cross-sell interest from your chemicals and refining customers and looking into some of the microgrid management capabilities. I'm just kind of curious if those cross-sell interest crystallized in the quarter or showing up more in the pipeline in the near term here? Thanks.
Antonio Pietri: Yes. Yes. No, look, it will -- it is showing up in the pipeline and it will be down the road because the conversation started to happen really in the last six months to nine months around microgrids. I had a meeting with a customer in India last week that has been a customer of HAT for 30 years. And when they found out that our capabilities around microgrids, but more -- I think more importantly, the fact that we are now -- our technology is responsible for maintaining the India electrical grid imbalance. And in operations, I mean, our technology keeps the lights on in India. It was very exciting for that customer also the fact that we actually managed to transmit the distribution of electricity in some of the major cities in India. And therefore, that gives credence gives credibility to them, the capabilities that we can bring to bear around their own microgrids and their own utilities as they start incorporating renewables, as they start generating power from renewables because this customer is making a huge investment in solar power as well, even though there historically been chemical -- so petrochemical company. So this is also going to be an opportunity. But again, customers are only starting to learn about all of these, and those opportunities will be in the pipeline down the road.
Devin Au: Great. That's great to hear. Thanks for taking my question.
Antonio Pietri: Yes, you're welcome.
Operator: [Operator Instructions] The next question comes from Josh Tilton with Wolfe Research. Your line is open. 
Antonio Pietri: Hi Josh.
Arsenije Matovic: Hi, Antonio, hi Chantelle. This is Arsenije on for Josh. Thanks for taking my question. Looking at seasonality, you reiterated with the 60% range of net new ACV in second half, that implies a significant step up in 2Q. Can you elaborate on what provides confidence in that outlook, especially as a higher concentration of attrition as expected? Because I think it would be the largest 2Q quarterly net new ACV step-up and the second largest quarterly increase ever realized. And then just a brief followup. Thanks. 
Antonio Pietri: All right. Well, look, I think Chantelle reiterated some of the reasons why we think not only Q2 and by the way, yes, I know we talked about the linearity of the year and what it means for Q2, but there's also Q3 and Q4 here. Look, I think more immediately, it is starting to see the impact from the hiring, the incremental headcount that we've been putting into sales since the beginning of Q4. We made also significant progress in that area in Q1. And then our pipeline of business, this is something that is -- our pipeline is continuing to grow across all three sort of historical businesses, HAT, OSI and SSE. And then okay, Q3, we've talked about the SEC renewals and in general. But look, historically, Q2 is the end of a fiscal year for most of our customers in HAT, also customers in SSE, DGM. Frankly, we haven't seen any seasonality to DGM because of the way those opportunities flow, mostly RFPs in the initial projects and then aftermarket sales and by the way, something that I want to say about the DGM business. The sales cycle for new customers in DGM is very long. We talked about it, 12, 24 months. But there's a business, once you're installed, that is much more accelerated. The name of that sales team inside AspenTech is aftermarket. I'm sure we'll change that name at some point. But that business is a shorter sales cycle business, is add-on once you're installed is adding new applications or new capabilities to what's already installed. And that's an area we're significantly increasing headcount. Sales cycle there, it can even be three months, but more normally six to 12 months. So this is an area where we see the opportunity to accelerate growth because of the cyclicality and then the focus on the incremental headcount that we're seeing there. And we expect to see some of that benefit in Q2 as well. But I don't – linearity is important, of course, because you have to be building the business in the year to eventually deliver a final outcome. But we still have three quarters. And Q2 is an important one, but Q3 and Q4 are also very important.
Arsenije Matovic: Got it. Thanks for that. And on DGM, you mentioned strength in perpetual license. Also, I think last year, because it was still bundled, you mentioned there would have been $16.9 million in DGM ACV in fiscal 2023 Q1. When I'm thinking about kind of the strength in the perpetual license this quarter, could you provide color into how strong DGM ACV was this quarter, assuming that there was probably some perpetual SMS tailwind, given that strength of perpetual license? Thank you. 
Antonio Pietri: Yes. Look, I mean, normally, we don't like to disclose outcomes in quarters because quarter performance can be given by many reasons. We had a solid quarter in some areas of DGM, and we're tracking in other areas. We still believe that we'll meet or exceed our number for the fiscal year for DGM, and that's what we're focused on. But the business continues to be very successful. And as I said, from my interactions with customers, I think this is a business that as we expand globally through headcount and engagement with customers, engagement with our own historical customers in HAT, this is going to be very exciting and interesting.
Arsenije Matovic: Thank you, Antonio.
Antonio Pietri: Yep, you’re welcome.
Operator: [Operator Instructions] The next question comes from Mark Schappel with Loop Capital Markets. Your line is open.
Antonio Pietri: Hi, Mark.
Mark Schappel: Hi Antonio, hi Chantelle. Antonio, I want to turn to your chemical business. I wonder if you could just talk or speak to the parts of the overall chemical market that you're seeing and the most pressure, like say, bulk chemicals, ag chemicals, specialty chemicals. And then also maybe if you could also address what you're hearing from your chemical customers with respect to the potential likelihood of their businesses snapping back next year?
Antonio Pietri: Yes. Look, I do think if you listen to the earnings calls from chemical customers over the last couple of weeks, two, three weeks, there's a little bit of a more positive narrative from these customers. If I think back over the last 12 months, there's no doubt that Aspen Chem [ph] remain sort of a positive area for chemical customers, bulk chemicals, less so. And that's where I think a lot of the herd was, depending on the region. It was destocking or demand. In Europe, it had to do with cost and the implications of the Russia-Ukraine war and so on. Now what we're starting to see and hear from customers is improving demand, sort of the – the green shoots of improving demand around bulk chemicals. I think spec chem has continued to remain solid. And they've also differentiated between their commitment and ability to again sustain their CapEx investments even through this down cycle because that's a longer-term investment versus OpEx. And that's what we benefit from. So I know that's been a question for investors between Emerson and AspenTech. I believe Emerson benefits tremendously from CapEx. We benefit from OpEx. Now we're here in budgeting season and I'm not so sure that the outlook for these chemical companies will change dramatically. Therefore, their budgets might be equally subdued for next calendar year, their next fiscal year. But we'll see. But clearly, there's -- you're starting to hear a little bit of more positive remarks around their macro demand environment than we've heard over the last six, nine months.
Mark Schappel: That's helpful. Thank you. And then Chantelle, real quick. Last quarter, I think it was noted that there were a few customers, particularly in Latin America and Asia that were just taking a little bit longer to pay. And I was just wondering if it's fair to assume, based on the good cash flow print this quarter, whether that trend has kind of corrected itself this quarter?
Chantelle Breithaupt: Yes. I think that we've seen the amount we expected to see in Q1. If you remember, I said it would kind of come in over a few quarters, and the Q1 met what we expected from the Q4 from those countries that paid late. So I think it was absolutely in line, and we're definitely pleased with our Q1 free cash flow performance.
Mark Schappel: Thank you. Great.
Chantelle Breithaupt: Thank you. 
Operator: [Operator Instructions] The next question comes from Nay Soe Naing with Berenberg. Your line is open. 
Nay Soe Naing: Hi both, hi thank you for taking the questions. I've got two, if I may. If I could start with the strategic investments that you mentioned, please. I was wondering if you could share a bit more color on which parts of the business that you're investing into? And also the high-velocity sales force, are there any particular opportunities that the sales organization is pursuing? And then my second question is on the divisional or segmental performance of the business. I think if I heard you correctly, I think you mentioned the engineering was -- had a really strong quarter, up about 13% year-on-year, so wondering if I could get some high-level segmental update for the rest of the business, please. Thank you. 
Antonio Pietri: Go ahead Chantelle, do you want to lever?
Chantelle Breithaupt: Yes. I just didn't want it. So I think from an investment perspective, we're pleased with a few very specific areas of investment. The first one you mentioned is the high velocity sales, and there, as we ramp that headcount through the year, we're very much seeing those kind of new logos that we mentioned, some of the start-ups, new ventures, which are very exciting for us as new growth. And the land and expand opportunities for some of the other plays that we're seeing, so definitely high velocity sales for those two factors. The other investment area that we continue to ever since Q4 is the DGM business, mostly rest of world with an intent on Europe. So we're pleased on the sense of the investments we've made for sales going into Europe and the team that's been built out there and continues to work with closed pipelines. And then the third investment that's related to sales is setting up the services ecosystem for DGM. And so that's related to sales, to delivering the sales, and those are the three specific ones. And we're pleased with the growth we can get with those things being enabled. I think from a segment perspective, if I understood your question correctly, so we commented that this quarter was the highest growth for engineering over the last 13, not specifically given the amount that you quoted. But generally, the concept there is we're very pleased with the engineering growth. We don't usually disclose segments on a quarterly basis, but Antonio, maybe you could provide some anecdotal commentary?
Antonio Pietri: Yes. Well, I mean, look, I'll just stay at a high level. But certainly, significant increasing headcount is going into DGM, both field sales as we expand internationally into Europe. But we're also adding some head count in other parts as well, Latin America, the Middle East, South Asia. Aftermarket sales, which in a way, it's mostly an inside sales organization as well for DGM. We're making a significant investment in that area. Look, we're increasing the number of enterprise sales consultants for HAT because we believe there's a bigger opportunity that will start flowing through for HAT as a result of also sustainability and the combination of sustainability use cases with our traditional technology. And then a material increase in the overall number of headcount in the company. And it takes a while to make all these people productive, but that's also something that we focused on, the sales enablement and how do we accelerate that. And as a matter of fact, I'll also say that we've learned from Emerson since they have a much bigger sales organization, how they've scaled sales enablement. And that's sort of a best practice that we've been able to take from our relationship with Emerson. So I'm very encouraged, and it's an exciting time in AspenTech at the moment.
Nay Soe Naing: Understood. Thank you very much both. 
Chantelle Breithaupt: Thank you. 
Operator: I show no further questions at this time. I would now like to turn the call back to Antonio for closing remarks.
Antonio Pietri: Thank you, operator. Look, I'd like to highlight here to close. Again, we believe in our ability to deliver on our guidance for the year, our ability to grow double-digit ACV growth and at least 11.5%. We're very encouraged by the macro indicators in – across most of our industries. And as I said, chemicals looks like it's improving the macro demand for bulk chemical producers. So that's good. As I travel around the world to talk to DGM customers or SSE customers, I just marvel at how now relevant Aspen technologies is for global electrification and the role we are playing, and we will be increasingly playing in that area. I think sustainability is real. Certainly, some regions of the world are making bigger investments at this moment than others. But overall, the sustainability CapEx is starting to flow. And eventually, there will be OpEx with that, which will benefit our business, our MSC, APM suites. And then overall, look, very confident. There's a lot of work happening here. Now it's about execution and expansion. And then focusing in the remaining time that we have in the fiscal year to exceed your expectations. So with that, I want to thank you all, and look forward to talking at some point in the future.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.